Operator: Ladies and gentlemen, good morning, and thank you for your patience. This call will begin shortly. Thank you for your patience, and this call will begin shortly. Greetings. And welcome to the ACCESS Newswire third quarter 2025 earnings conference call. At this time, all participants will follow the formal presentation. If anyone should require operator assistance during the conference today, and please note this conference is being recorded. I will now turn the conference over to your host, Kristin Iacovelli, Vice President of Webcasting. Kristin, the floor is yours.
Kristin Iacovelli: Welcome to ACCESS Newswire's third quarter 2025 earnings conference call. My name is Kristin Iacovelli, and I lead the company's Webcast and Events division as the Vice President of Webcasting. I've been with ACCESS for nearly twenty years, including my time with an organization that became part of ACCESS through an acquisition about six years ago. It's been an incredible journey watching the company grow and evolve into what it is today. I'm excited for what's ahead and proud to continue helping some of the world's leading brands and newly public companies share their stories each quarter. But before we begin, I'd like to remind everyone that statements made in this conference call concerning future revenues, results from operations, financial position, market, economic conditions, product releases, partnerships, and any other statements that may be construed as predictions of future performance or events are forward-looking statements. These statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied by such statements. We will also discuss certain non-GAAP financial measures, which are provided for informational purposes and should be considered in addition to, not as a substitute for, GAAP results. With that said, I'll turn the call over to our Founder and Chief Executive Officer, Brian Balbirnie, and our Chief Financial Officer, Steve Knerr. Brian?
Brian Balbirnie: Thank you, Kristin. It's fair to say you, as well as many of us here at ACCESS, have a significant amount of industry experience, but all the credit to you for leading for over twenty years what is probably 50,000 webcasts, with you and your team. Truly amazing. You are a rare breed, and I'm so very grateful for your customer-first passion and how you lead and mentor your team, specifically working over this past weekend for us with one of our new IPO customers who was doing their first earnings call today. Congratulations from me, America, and thank you. With that, good morning, everyone, and thank you for joining us today to review ACCESS Newswire's third quarter 2025 results. As always, Steve and I appreciate you taking the time to be with us today, specifically on this 106th Veterans Day. Our 8-K and 10-Q will follow tomorrow as the SEC is closed on this holiday. Our third quarter results reflect continued progress in our core business and ongoing execution against our strategic priorities. We delivered both sequential and year-over-year revenue growth, meaningful improvement in profitability, and strong operating discipline, all while continuing to invest in our product and platform enhancements that will drive our future growth. Revenue for the quarter came in at $5.7 million, up 2% sequentially and year-over-year from $5.6 million. Adjusted EBITDA increased to $933,000, representing 16% of revenue, up from $546,000 or 10% in the same quarter of last year. Our gross margins held steadily at 75%, consistent with prior year levels, and operating loss improved significantly to $184,000 compared to a loss of $604,000 in 2024. These results reflect the positive impact of our operational realignment earlier this year, our continued focus on cost control, and our accelerating shift to subscription-based revenue. Before I hand the call to Steve, I want to highlight a few metrics that show the health of our business. Prior quarter and year, total active customers grew to 12,445, up slightly from the previous quarter. Subscription customers increased to 972, representing modest sequential growth and continued retention strength. Average recurring revenue per subscribing customer also rose to $11,601, up 14% year-over-year, evidence that our value proposition is resonating and our upselling strategy is working. We're encouraged by the progress but equally focused on the road ahead, continuing to scale efficiently while driving innovation and expanding our share in the market. With that, I'll turn the call over to Steve to walk you through some of the financial results in more detail. Steve?
Steve Knerr: Thank you, Brian, and good morning, everyone. Happy Veterans Day to all of our former members of the armed forces. We are extremely grateful for your service and all you've done for our country. As Brian mentioned, Q3 is another quarter of generating increased EBITDA and non-GAAP net income while increasing revenue and lowering operating expenses. I will now discuss some of the details which led to these results. Total revenue for 2025 was $5.7 million, an increase of $84,000 or 1.5% compared to $5.6 million in the same period of 2024. For the first nine months of 2025, total revenue was $16.8 million, a $411,000 or 2% decrease from $17.2 million in the same period of the prior year. The increase in revenue for the quarter was due to an increase in our core press release revenue of 7% due to an increase in volume. For the nine months ended September 30, 2025, press release revenue increased 1%. However, this was more than offset by declines in revenue from our pro webcasting and IR website solutions. We anticipate increases in core press release revenue will lead to higher revenue growth rates in the quarters ahead. Gross margin percentages have remained relatively flat for both the three and nine months ended 09/30/2025, as compared to the prior year, at 75-76%, respectively. Although we have experienced increased distribution costs as we continue to expand our distribution footprint, we have been able to offset this with efficiencies in our operations teams in order to build scale. Gross margin increased $40,000 or 1% and decreased $233,000 or 2% for the three and nine months ended 09/30/2025, respectively, as compared to the same periods of the prior year. Moving to operating loss, we posted an operating loss from continuing operations of $184,000 for 2025 and $1.1 million for the first nine months of 2025, compared to operating losses of $604,000 and $2 million during the same periods of 2024. The decrease in operating loss is a result of lower operating expenses, which decreased $380,000 or 8% and $1.1 million or 7% for the three and nine months ended 09/30/2025, respectively, as we remain committed to developing efficiencies and optimizing our teams. General and administrative expenses decreased $409,000 or 22% for 2025 compared to 2024 due to a reduction in bad debt expense, employee-related expenses, as well as savings from indirect costs associated with the compliance business. For the first nine months of 2025, general and administrative expenses decreased $185,000 or 3% compared to the first nine months of 2024. This is due to the same reasons I just noted, however, it was partially offset by a one-time benefit recorded in 2024 of approximately $340,000 due to the reversal of stock compensation related to the resignation of an executive officer. We will continue to seek opportunities to reduce G&A expenses and are currently negotiating a sublease on our corporate offices, which we anticipate could save us over $300,000 annually. Sales and marketing expenses increased $34,000 or 2% and decreased $924,000 or 16% for the three and nine months ended 09/30/2025 as compared to the same periods of 2024. The decrease for the nine-month period is due to lower headcount throughout the first six months of the year. However, as of the third quarter, the team has been built back to where it was a year ago. Product development expenses have remained consistent for the three and nine months ended 09/30/2025, as compared to the same periods of the prior year. Decreases in costs related to consultants were partially offset by declines in capitalized software. Brian will talk further about some product enhancements coming this quarter and the early part of next year. And as such, we will expect to begin to capitalize more product development expenses related to such enhancements. On a GAAP basis, we reported a loss from continuing operations of $45,000 or $0.01 per diluted share during 2025, compared to a net loss of $870,000 or $0.23 per diluted share during 2024. For the first nine months of 2025, net loss from continuing operations was $1 million or $0.27 per diluted share compared to a net loss of $2.3 million or $0.61 per diluted share in the first nine months of 2024. There was no activity for discontinued operations during 2025 compared to net income of $404,000 or $0.11 per diluted share during 2024. For the first nine months of 2025, net income from discontinued operations was almost $6 million or $1.53 per diluted share compared to $1.7 million or $0.45 per diluted share for the same period of 2024. The increase is primarily a result of the gain on the sale of the compliance business. Looking to some non-GAAP metrics, 2025 EBITDA was $537,000 or 9% of revenue compared to a loss of $212,000 or 4% of revenue for the third quarter of 2024. For the first nine months of 2025, EBITDA was $1 million or 6% of revenue, compared to $70,000 for the first nine months of 2024. Adjusted EBITDA increased to $933,000 or 16% of revenue for 2025 compared to $546,000 or 10% of revenue in 2024. For the first nine months of 2025, adjusted EBITDA more than doubled to $2.3 million or 14% of revenue compared to $961,000 or 6% of revenue for the first nine months of 2024. Non-GAAP net income for 2025 increased $573,000 to $760,000 or $0.20 per diluted share compared to $187,000 or $0.05 per diluted share in 2024. The first nine months of 2025 non-GAAP net income increased to $1.5 million or $0.39 per diluted share compared to a non-GAAP loss of $78,000 or $0.02 per diluted share during the first nine months of 2024. We ended the quarter with $3.3 million of cash on hand. However, this was negatively impacted by cash outflow from operating activities of $582,000 during 2025. This was primarily due to the payment of over $1.1 million in taxes, primarily related to the gain on the sale of the compliance business. Cash generated by operating activities was $1.5 million during 2024, where this includes cash generated from the compliance business. The first nine months of 2025 cash flow generated by operating activities was $300,000 compared to $2.3 million during the first nine months of 2024. Again, the year-to-date amount for 2025 includes over $1.5 million paid in taxes primarily related to the sale of the compliance business. Adjusted free cash flow was negative $418,000 for 2025, compared to $1.4 million for 2024. For the first nine months of 2025, it amounted to $799,000 compared to $1.9 million for the first nine months of 2024. I will now turn it back over to Brian who will provide some updates on the business, customers, subscriptions, and volumes, along with everything else we have planned for the remainder of the year. Brian?
Brian Balbirnie: Thank you, Steve. Let me start by saying that the third quarter showed solid execution across the board. Our focus remains on strengthening the core, scaling recurring revenue, and driving product-led growth. But before I speak on our outlook for the remaining part of the year and into next year, I wanted to reflect on the last nine months and what we've done to put the business in the best place for the future. We rebranded the business in January, sold our legacy compliance business in February, thus reducing the debt by 83%, also reducing then our OpEx by 7%. We retooled our entire back-office systems and processes, increased our focus on a subscription-first approach to sales, also increased subscription business to approximately 50% of our revenue, and we've continued to innovate our technology application by introducing AI agents that analyze content in real-time to further our commitments to both misinformation and disinformation. As most of you know, we're a lean business, and in reflection, this is an amazing amount of work to accomplish in nine months, as well as continue to grow minimally and improve operating results. All that said, we know that growth is key to our long-term business, and we are poised to do this in 2026. Customer counts and subscriptions at the beginning of the year were guided to achieve 1,500, and I want to talk about that for a minute. When you consider that when we disposed of the compliance business, we did actually lose 300 subscription customers from that sale. So that puts us in a corrected guided number of approximately 1,200 for our communications go-forward business. Today, we ended Q3 with 972, and we know that this number is aggressive to hit the target. But so long as we see continued ARR improvement and enhanced retention, with overall growth, we're setting ourselves up next year for an explosive year both in ARR and strong subscriber numbers. Here's how we're going to get there. Both in our internal initiatives of what we call trade-up and trade-in over the last couple of quarters we've spoken about. First, trade-up. We have significantly planned product upgrades that include advancements to our monitoring and delivery that will include real-time results from over 30 social media platforms, dimensions, the value and sentiment, and the impact of your brands, as well as connectivity to one of the world's largest social media management platforms that allows users to schedule, publish, and analyze content across multiple social networks from a single dashboard. Combining this at year-end, and into our ACCESS PR platform, we will see a lift in our ARR and provide further value to our customers. Second is the trade-in. As we expand our product offerings, we will benefit from being able to attract a larger total addressable market as enterprise customers and scale-up brands are craving an all-in-one platform that delivers all the tools needed to tell, manage, and monitor their brand. Also, with the advancements of our hashtag kill the report strategy, we are going to be addressing one of the biggest issues in the PR market, and that's the distribution report. The industry is full of implied metrics and results that leave many brands wondering where the actual value is. We think it is time to open this up even more and put the data in the hands of the users by simple prompts that will alert you in real-time. From there, you can build a point-in-time report that delivers that executable document to you. So very soon, we will let the old school distribution report rest in peace. We have also been busy this past quarter building a vertical we believe can be a contributor to the long-term future of our business. Adding this in the third quarter, we call it the EDU program. A class curriculum component of our ACCESS PR platform, where students and academics can use our PR writing platform, media database, monitoring, and pitching tool in a class real-life simulation at no cost. Our Get Back to the Next Generation enhances the skill development with leading applications that will prepare them for the workforce, understand the storytelling process, and improve what ACCESS can do for them in their careers. We look forward to these students graduating and taking the ACCESS PR platform with them in their first career job. We were awarded something that we feel very special about, and it's called the Bateman's study. And I want to read a quote from this press release. "As one of the most rewarding and challenging programs PRSSA offers, the Bateman allows students to gain hands-on experience with real clients while sharpening their research, strategy, and execution skills," said Janine Garcia, chief programs officer at PRSA. So what we'll see is 100 colleges and thousands of students that will be challenging their undergraduate public relations students across the country to create comprehensive campaigns for a real-world client.
Operator: Us.
Brian Balbirnie: This year's participating teams will develop strategic and creative solutions designed to build awareness and engagement for ACCESS Newswire, with a focus on showcasing how the company continues to support and elevate the communications industry. We look forward to judging the competition and early next year announcing the winners and results of that program. Back to the remaining part of this year and looking forward, revenue trends and ARR growth, sequential revenue growth, and improved profitability show that our strategy is working. ARR continues to rise, and we expand our subscription base and enhance the average value per customer. We expect to see continued improvement throughout the rest of the year, driving new product releases and deeper customer engagement. Our ARR per employee, one of our key internal performance metrics, continues to trend upwards. Operational efficiencies, automation, and the divestiture of our compliance business have allowed us to generate more recurring revenue per full-time employee. This metric demonstrates the scalability of our model and positions us well to meet our long-term profitability goals. Subscriptions and platform expansion, we're on track with our goals of transitioning the business to a majority subscription model. The number of subscription customers increased again this quarter, and the average ARR per subscriber now exceeds $11,650, a strong indicator of product adoption and retention. Focus remains on customer stickiness, ensuring that as we grow, our customers stay with us longer and adopt more of our platform capabilities. We are also advancing our AI-driven automation initiatives that began earlier this year. Our internal editorial validation system is now fully deployed, saving approximately 5% of the editorial time per release. By the end of this year, we'll roll out our customer-facing version, which is expected to further reduce our editorial efforts by an additional 5% and enhance content quality and consistency. Additionally, we remain on track to launch key social media integrations with leading management platforms before the end of this year, expanding how customers can distribute and measure their news across channels in real-time. And lastly, like I just mentioned earlier, the hashtag killed the report is on track to offer a robust agentic agent AI-based real-time prompting and alerting system to our customers. So to summarize, we are executing against the plan and achieving measurable improvement each quarter. Our ARR per employee and per subscriber continues to rise. Our operational expenses remain well managed, supporting long-term margin expansion. And our innovation, particularly around automation and integrated reporting, will drive our future growth and differentiation. Looking ahead for the remaining part of the quarter and into next year, our focus is very clear. Continue expanding subscription revenue and recurring ARR, drive gross margin efficiency while maintaining quality, deliver new product capabilities that enhance the customer experience, preserve cost discipline while supporting our growth initiatives. We expect continued sequential improvement in both revenue and adjusted EBITDA in the fourth quarter. ACCESS is becoming a stronger, more predictable, and more profitable business. We have said we would do this, and we are. Now it's time to grow the top line in 2026 and beyond. With that, I'll turn the call over to the operator for the question and answer session.
Operator: Thank you. At this time, we will be conducting our question and answer session. A confirmation tone will indicate your line is in the question queue. And you may press star 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up this before pressing the star key. One moment please while we poll for questions. Thank you. Our first question is coming from Jacob Stephan with Lake Street Capital. Your line is live.
Jacob Stephan: Hey. Good morning, guys. Congrats on a nice quarter here. First, to start off, I just want to get some additional color on, you know, the nice sequential growth we saw in subscription ARR. I think, you know, you guys had said that, you know, previously, contracts were coming on at, you know, about $14,000. That still the case, or has that changed at all?
Brian Balbirnie: No. Yeah. I think the end of Q3, we were about $13,000 and change. So we're just slightly off Q2's numbers. But we're still trending in the right direction overall when we look at total ARR.
Jacob Stephan: Okay. And so just to kind of contrast your comments here, I you know, you kind of said that 1,200 for, you know, subscription customers was an aggressive goal for this year. But did I hear you correct? That's where you expect to be next year at this point? Is that 1,219?
Brian Balbirnie: Yeah. No. That's a good point. Right? And what we were talking about in our prepared remarks last year when we guided to the 1,500 number, as I said earlier, we were not giving way for the number of compliance subscriptions. And so we do retract those to kind of restate the numbers, it would ultimately look like about approximately 1,200 is what the target would be. We feel like we're going to be slightly short of that 1,200 number. Although, we feel like our retention and our average ARR is going to continue to climb. And so long as we see those numbers, we're not concerned about the business seeing that 1,200 number by the end of the year. But I'd expect that in the next year, this time next year, you're going to be well north of 1,500 to 1,600 subscription customers on our focus communications platform. So not 1,200, but higher than those numbers.
Jacob Stephan: Okay. That's helpful. Then maybe just touching on gross margin a little bit, you know, it did come in below, you know, 75%. A little softer in the quarter then. I guess, we had anticipated. There anything one-time in the quarter that, you know, impacted that? Or maybe how do you think about it going forward?
Steve Knerr: Yeah. I think, Jacob, we did deliver gross margins at 75% for Q3. And I think we'll see some expansion there. I think what's important to point out, and I think, Steve, called it out in some of his prepared remarks, is that we've incurred additional distribution costs and other infrastructure costs to scale our operations. Even with that, we've still been able to maintain our gross margin. And so evidence of our commitment to do that is what we've talked about in the last couple quarters. About using some internal AI automations to help our editors be more efficient. And we're saving that time there with them, which is also helping us. So I feel confident that gross margins are kind of at a bottom-end level about the 75%. And are going to climb next year. Obviously, what's important to that is scale. Right? And we see the industry making a lot of changes in ownership, the industry making a lot of changes in volume. LLMs are now coming out saying that PR and blog content are one of the most important things that companies can have so that they're indexed and thought about from AEO and GEO. Kind of perspectives of queries on LLMs and searches. So we expect to see growth in the news industry next year by volume. And so that our top line grows, we'll see gross margins also grow. But, yes, Q3 did end up at seventy-five.
Jacob Stephan: Okay. Yeah. And I'm certainly not suggesting that, you know, 75% gross margins is, you know, short or not good, but yeah. Maybe just one last one for me then. As you kind of look at 2026 and, you know, how you think about the overall market, what I guess, maybe if you can group it into, you know, like, IPO candidates, maybe, you know, existing public companies, and maybe even, like, existing customers for add-on sales. How do you expect kind of the three buckets? Where do you expect the majority of the growth to come from?
Brian Balbirnie: Yeah. And we're using these words externally as well as internally in our trade-up, trade-in, trade-up strategy. Yeah. And when we think about the trade-up, we're doing really good at large enterprise brands coming in, subscribing to part of our platform, and expanding quickly. And if I just look back over the last, call it, year, almost every one of them has come to us to buy an investor relations platform or an earnings call platform subscription or a PR platform, and it has bought the other two over the period. In my opening remarks, we talked about a company called Fermi America. They bought everything. They're a fantastic organization. It's just a new IPO. So we get our share of that space. And we're doing well there. And so the example of Fermi really is probably a trade-in. Right? They were looking at other options. They had Nasdaq subsidy, to be honest with you. They could've gone but they chose the best of breed, and that was us to deliver on what they're looking for. So we'll get a small percentage of the IPO market as we always have. We're continuing to get a larger percentage of the enterprise business, which is great for us. To be honest, the rebrand of our business this year has made that a tremendous success for us in winning those customers. But by vast majority, because we've kind of looked at the market longer term, we need to be fueling growth underneath to be able to drive both kind of these scale-up new brands as well as the enterprise brands. And so kind of agnostic ourselves about public and private, we really want to look at where are the bigger opportunities for us to scale customer growth and scale subscription growth. And we've got a lot of plans in the works for next year that we'll talk about in our year-end call. Some of the things that we've got done and signed that will be released in January that we'll wait till then to talk about. That's going to give us a significant opportunity for growth coming into next year and beyond. But we still feel confident that we're a viable option and a strong leader in the enterprise space and a strong leader in the IPO space. I think we probably had more net wins in our PR, IR platforms than anyone else in the market in this last quarter. So we feel good about that.
Jacob Stephan: Awesome. Very helpful, guys. Nice work.
Operator: Thanks, Jacob. Thank you. Once again, ladies and gentlemen, if you have any questions or comments, please indicate so now by pressing star 1 on your telephone keypad. Okay. We currently have no further questions in the queue at this time. One moment. Apologies. We do have had a late question come in from Luke Horton with Northland Capital Markets. Your line is live.
Luke Horton: Yeah. Hey, guys. Sorry about that. I thought I was in the queue earlier, but congrats on the quarter. Brian, could you just talk a little bit about industry volumes across the press release industry, kind of how that trended for the quarter and then what you've seen so far here in October and into November?
Brian Balbirnie: Yeah. That's a great question. And so this may take me a few minutes to answer. And so as I begin, you know, kind of the response to you, Luke, I'm going to pull something up. Because I want to be sure that I'm being very articulate for our audience and our shareholders to understand. For the better part of the last eight years, we have as a business, have gone from no percentage of market to 20% of market in news volumes. And when we used to obtain research independently in the market that a firm no longer does, it indicated that the industry was growing at about a 4 to 6% CAGR over the last five years absent of this year. And so when we looked back at the last two years, and this goes to kind of the four main news wires in the market, us being one of them. We saw the largest, I'm going to leave their names out of this just to be fair to them. The largest news provider dropped market share from 34% to 27% in this, you know, mid-2023 to, you know, Q3 2025. Another one dropped from 32 to 26. And in the same time, volumes in the market went from 8% to almost 20% for us. So we're seeing the industry slow down in their contribution to market share. And we're continuing to grow. And by estimates, when we look at the year-to-date, we're continuing to see the same trend. We grew a couple percent. Everybody shrunk a couple of percent. And so that is the historical viewpoint. And so that's good for us. If you're outpacing the industry, that's great. But to be fair, we've got to get outside of the industry to drive growth. Whereas we feel that the rest of the folks in our industry are not doing, they're doing the same thing over and over again, and we've got a clear strategy for next year on what we're going to do. To address that. And that's adding some of the components we talked about. The social change in the reporting metrics and being very dynamic in real-time. There. But lastly, the other part of it is I think the hope for the industry as a whole and will benefit significantly from this is what AI is doing to content that needs to be run through LLMs. And they're using it for brand credibility, they're using it for industry knowledge and research. And the two fundamental points that every LLM is saying is press releases and blog content are the two driving factors. So we spent a good amount of time in what the new SEO, PPC world is calling GEO and AEO. To index releases that are being contributed, and we're one of the top newswires now contributing content to these platforms for all of our customers. And so we think that's going to lead to more volume in the industry, but it also gives us the competitive advantage to push ahead faster than everybody because folks are going to rely upon us for that AI query content. So hopefully, Luke, that helps with a lot of data. Happy to unpack some of it if you'd like.
Luke Horton: No. For sure. I appreciate the perspective there and kind of the background on how that's trended over the last couple of years. You guys did mention some cost savings with the sublease of a corporate office. Potentially a $300,000 a year in cost savings. Are there any more kind of cost synergies throughout the business? Or any more costs that you're kind of looking to right-size here now that you've sold the compliance business and rebranded under the ACCESS Newswire brand? Just how are you thinking about the cost structure now versus maybe a year ago?
Brian Balbirnie: Yeah. I think we've done a really good job in the last six to nine months of pulling down the OpEx. As we said, we would the lease was never modeled into our assumptions of future cost savings because you just don't know what you don't know on commercial real estate. I think we're really there now to enter into the sublet here beginning in January. So you'll see that as this mentioned, the $300,000 in annual savings that will come over the next two years and at least end, I think, at the 2027. Give or take a month at the end there. We may see some other small and consequential savings to be fair. A lot of it coming from our infrastructure as it relates to the delivery of our applications. Consolidating into different platforms and cloud-based systems that we may see some benefactor. Our webcast platforms went through significant upgrades over the past quarter or so. It's also yielding some savings that we'll see. You know, I don't want to give a percentage for guidance, but I'd say you're probably going to see another, you know, $30,000 to $50,000 a quarter in additional savings. But I think, again, to us, it's such a nominal amount. I'd rather reinvest that for growth than message that we're going to continue to drive down OpEx. We've got to deliver on our platform. We have to deliver on a customer-first approach and continue to be that marquee provider for our customers. And although generating cash is a beautiful thing, we need to grow. And I think that's the most important thing for us.
Luke Horton: Got it. Awesome. And then could you also just kind of talk about how has the marketing strategy changed since the sale of compliance and the rebranding either between just kind of the sales-led growth or product-led growth here? As of late, I guess.
Brian Balbirnie: Yeah. It's a consolidated mess. And we struggled for a couple of years prior to rebranding being the public company company. And that's an honorable thing. We started our business there, and we'll never forget what Issuer Direct was able to afford us. To get to where we are today. But as we look at our client numbers, the majority of our customers for the better part of the last five years have been private enterprise. And it is difficult to go into them underlying contracts with Issuer Direct, and ACCESS Wire and Newswire and Direct Transfer and all these other names that we had we needed to slim down the business or, I guess, the basketball term is, you know, go small to get big. Right? And so we had to do this. We wanted to do this for a couple of years. A lot of our shareholders knew that. So today, our teams go to market as a consolidated business unit that's focused on communications, brand building, and storytelling, and monitoring under the ACCESS name. And it's a cleaner story to tell. It's an easier product solution to sell. It has not disrupted our public company customers. We haven't lost public company customers as a result of doing this. Our brand is stronger than ever. When we did market research before rebrand and post rebrand, we generate more traffic to our platforms. We generate more traffic to our customers' news articles. We generate more engagement than we ever have, and eighteen years prior to doing this. So the rebrand has been a very good thing for our business. It has matured us significantly and the external view of who we are. And what we do. Strategically, ACCESS Newswire is the name, and probably over the next year, people will know us as ACCESS. And that is going to be a deliberate attempt to what we're trying to accomplish here from our public relations and investor relations platform. So to be fair, we couldn't be happier about it. And continue to push the theme that our marketing department has come up with of, you know, we love you more and we're going to service our customers regardless of how much AI is in the industry. It's always a human touch, we're going to do that.
Luke Horton: Got it. Awesome. Well, really appreciate it, Brian. Thanks for all the color there, and congrats on a nice quarter, guys.
Brian Balbirnie: Thanks, Luke.
Operator: Thank you. As we have no further questions in queue at this time, I would like to turn the call back over to Mr. Balbirnie for any closing remarks.
Brian Balbirnie: Ali, thank you. Smashing job as always, sir. Thank you again to our shareholders and everyone else who joined the call today to listen to us talk about the progress we're making here in 2025 and where we're headed into the end of the year and into next year. We appreciate our shareholders, our partners, our customers, and their continued trust and support, and we look forward to updating you again next quarter. Have a good Veterans Day. Thank you, everybody.
Operator: Thank you. Ladies and gentlemen, this does conclude today's call. You may disconnect your lines at this time, and we thank you for your participation. Thanks, Alan. See you.